Operator: Welcome to the China Recycling Energy's Second Quarter 2015 Earnings Conference Call. [Operator Instructions]. I would now like to turn the conference over to Ms. Adeline Blu [ph], Investor Relations Manager. Please go ahead, ma'am.
Unidentified Company Representative: Thank you, Dan. Thank you for joining us on today's conference call. Before we start I would like to remind you that management's prepared remarks contain forward-looking statements that are subject to risks and uncertainties and management may make additional forward-looking statements in response to your questions. Therefore the company claims that the protection of the Safe Harbor for forward-looking statements that is contained in the Private Securities Litigation Reform Act of 1995. Actual results may differ from those discussed today due to such risks, but not limited to fluctuations in customer demand, management of rapid growth, intensity of the competition, general economic conditions, geopolitical events and the regulatory changes and other information detailed from time-to-time in the company’s filings and future filings with the Securities and Exchange Commission. Accordingly, although the company believes that the expectations reflected in such forward-looking statements are reasonable, there can be no assurance that such expectations will prove to be correct. In addition, any projections as to the company’s future performance represents management’s estimates as of today August 14, 2015. The company undertakes no obligation to correct or update any forward-looking statements provided as a result of new information, future events or even changes in our expectations. Joining us on today's conference call are Mr. Ku, Chief Executive Officer; Ms. Shi, Chief Financial Officer and Mr. Choo because there will be some translation during the call, we ask for your patience all the time. Mr. Ku, the CEO of China Recycling Energy Corporation will now deliver his opening remarks and Mr. Choo will translate them thereafter. Please go ahead, sir.
Guohua Ku: Good morning, and for those in China, good evening. We’re pleased to report a solid quarter with the increase in both our top line and bottom line. During the second quarter of 2015 we completed and sold one WGPG system to Datong Tianjian which had contributed 24.5 million to sales of the system, an increase of the 29.2% year-over-year. Net income for the quarter increased on a 7.2% year-over-year, the effects to the increase in the net operating income and our continued efforts to reduce expenses. Interest income on our sales type financial leases are recurring revenue stream and remained stable during the quarter, however due to the recent investment [ph] consolidation changes in China and our current related business restructuring plans we experienced that the early termination of the two projects during the we had an impact on the gross momentum in increase income on sales type leases during the coming quarters but [indiscernible] received from these two terminations are useful to boast our balances to invest in new projects. During the changing dynamics of the industry -- we continuously increased market demand for solution in energy saving and emission reduction. We continue to invest in R&D to develop new energy recycling solutions and explore new operating and revenue models. In addition to the WGPG system we completed in the second quarter, we also completed the construction of coke dry quenching system or CDQ system for short. But at the end of the second quarter for both [indiscernible] was new CDQ system is currently being tested and will be successful CDQ when the system passes the test and starts operation. We’re currently building our other [ph] CDQ system in China. Going forward we will continue to see new projects for future growth. The macro policy environment in China remain positive for the energy recycling sector. In the first half of 2015, the China government published a national standard for some key industry and the operating instruction to prevent air pollution in 2015. According to the Ministry of the Environmental Protection, remixing of the chemical oxygen demand. But -- suffer the offset and the nitrogen oxide was reproduced in the first half of 2015 by 2%, 3%, and 5% year-over-year respectively. The government expects to achieve a regional targets for a national reduction for 2015 positively exceeds that. We expect to see some more favorable policies in trial [ph] as the environmental sector is served. In closing, I would like to again thank our shareholders and strategic partners for the support of CREG. We look forward to updating all of you on our success in the future. Now let me turn the call over to our CFO, Ms. Jackie Shi will take you through our second quarter 2015 financial results. After the prepared financial review, I will come back to take your questions. Thank you
Jackie Shi: Thank you, Mr. Ku. I would like to state that all our numbers are presented in U.S. dollars and that all comparisons are between the second quarter of 2015 and the second quarter of 2014, except for balance sheet items. In the second quarter ended June 30, 2015 sales of systems increased 29.2% to $24.48 million from $18.95 million many due to the 18 megawatts WGPG power generating systems for Datong Tianjian completed and sold in the second quarter of the 2015. For the second quarter for 2015, the company received contingent rental income of the 0.1 million from the uses of electricity in addition to the minimum lease payments compared to the 21 million in the same period of 2014. Cost of sales was 21.46 million compared with 14.75 million for the same period of 2014. Gross profit was 3.11 million as compared with 4.56 million, blended gross margin for the second quarter of 2015 was 13% compared with 24% in the same period of 2014. Interest income on sales-type financial leases was 6.33 million and 3.5% from 6.12 million, [indiscernible] of the 2015 interest income was relative from the 13 first leases transaction leases [ph] including the WPGP systems Tianjian Phase 1 and Phase 2 results for the year and 11.9 year term respectively. The Tianjian system [indiscernible] Phase 1 comes with 11 year and 9.5 years term respectively. The power and steam generating system had 20 year term and the system [indiscernible] 24 years DCRP systems for 2000 [ph] with 30 year term and the WPGP system with 50 year term. In composition, interest income on financial leases was from 15 system in same share of 2014. During the quarter the company transferred the ownership of two DCRT system for 2010 and one WPGP system to Tianjian. In addition one WPGP to Tianjian was completed during quarter and also transferred [indiscernible] in 2015. Operating expenses totaled $0.55 million, down 27.6% from $0.76 million. The decrease was mainly due to a decrease in consulting expenses and payroll expense. The total non-operating expenses consisted of non-sales type financial lease interest income, interest expenses, bank charges and miscellaneous expenses. For the second quarter of 2015 net non-operating income was $3.68 million as compared with non-operating expenses of 1.75 million for the second quarter of 2015. This is mainly due to the 4.59 million of our system reported in these projects. And the two WGPG system for Datong Tianjian in the second quarter of 2015. Income tax expenses was 1.3 million down 75% from the 2 million, the decrease in income tax expenses was mainly due to the increase in some of the effects of income tax rates which was up 10.4% for the second quarter of 2015 compared with 23.4% in the same period of 2014. Net income was 11.28 million up more than 71.2% from $6.59 million. This increase in net income was mainly due to increased net operating income and decreased income tax expenses compared with the same period for the 2014. This is fully diluted EPS was $0.40 in the second quarter of 2015 compared with $0.11 in the same period of 2014. Now let me discuss our financial balance sheet highlights. As of June 30, 2015 the company had cash and cash equivalents of the 53.20 million, other current assets was 70.1 million and the current liability was 19.84 million. Total shareholder equity was 223 million compared with 207 million as of December 21, 2014. The net changeable [ph] assets for shareholder 2.69 as of June 30, 2015. Net investment in sales tax financial leases consist of the 2 million lease payments receivable less our unearned interest income and estimated cost on earned interest income is amortized to income over the lease term so as to reduce our constant rates of return on the net investment in the leases. As of March 31, 2015 net investment in sales type financial leases was $151.6 million compared with $181.02 million as of December 31, 2014. The total future minimum lease payments receivable was $428.98 million. And what that let me turn it over to Mr. Ku, our CEO to take your questions. Operator, kindly please begin the Q&A.
Operator:
Jackie Shi: Thank you, operator and thank you for joining us on China Recycling Energy for second quarter 2015 results conference call. We look forward to updating all of you on our third quarter 2015 results. Please feel free to get in touch with our us anytime if you have any future questions, concern and comments. So have a wonderful day. Thank you very much
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect. Have a wonderful day.